Richard Burden: Good morning and good afternoon, everybody, and welcome to Zurich Insurance Group’s First Quarter 2018 Q&A Call. On the call today is our Group’s CFO, George Quinn. We have an hour’s time today, so can I remind you to keep your questions to two in the first go-round and if we have time at the end, we’ll come back to you with additional questions once everybody has had an opportunity. Before we start with the Q&A, George will just make a few introductory remarks for the quarter, George?
George Quinn: Thanks, Richard, and good morning and good afternoon to all of you. So a few initial remarks. The first just is a reminder that the, as you know, from last year, the focus in the first and third quarter was on revenue trends with some qualitative commentary on the performance of the business. And of course, you’ll see that customary and full earnings detail were made out in the half year. Over the first quarter, we’ve made a good start to the year and probably more importantly, we’ve continued to make good progress towards the targets that you’re all familiar with. We’ve also continued to strengthen the business through targeted transactions that builds on already solid foundation, particularly as you’ve seen in the first quarter in Latin America. At P&C, pricing trends continue to improve in North America over the first quarter. As we highlighted at the time of the full-year results back in February, we continued to focus on improving underwriting profitability over volume. And rate – and some areas of the portfolio is still not sufficient. The quarter has seen a number of net cash events around the world, however, I’d like to confirm that overall in that kind of levels for the first quarter are only very slightly above historical levels. Life business continues to deliver our strategy of focusing our capital life and protection business and this has continued to support good growth, which changed the return to balance, return on capital, cash generation, new business margins, which is all remains an attractive level. Farmers continues to deliver a steady performance. But I think what stands out in the quarter is the improvement and underlying customer matrix and the performance of the Farmers exchanges. And this shows up and brought some improved attention and growth in both new business and policy count over the course of the quarter. Combined with the further improvement and the underwriting performances and surplus of exchanges, these flagship is supportive of future growth than the business. The quarter, also confirms a very strong capital position that we have on Z-ECM ratio has improved to 133%, providing us with continued capital flexibility. I should remind that we continue to review the capital levels of our business and improved opportunities and the macro outlook. However, the near-term key focus remains on delivering on our dividend policy and improving the dividend over the plan period. I’ll now be happy to turn to Q&A.
Operator: The first question is from Peter Eliot from Kepler Cheuvreux. Please go ahead.
Peter Eliot: Thank you very much. My first question is on the agreement you’ve reached with Uber. I guess, you’re one of a number of insurers that they’re talking about agreements with Uber in different regions. And I’m just purely saying that will [indiscernible] for a second and I guess, then my starting assumption would be that Uber probably has to be the bargaining power in its agreements. I’m just wondering as the world moves from sort of smaller ticket business to larger ticket business, does that shift the value towards the customer rather than the insurer? I mean, say, just playing Devil’s advocate, but I’d be interested in your thoughts on that sort of trend? And then, second question, I was wondering if you could just run us through the operating assumption changes that you made in the Life business? Thank you very much.
George Quinn: Thanks, Peter. So on the first one, importantly, first of all, the Uber contracts or contracts are worth the Farmers exchanges and not worth the Zurich Group. I mean, obviously, the point is valid nonetheless. So I think the – as the world potentially shifts and we see more of rate share and eventually against shared or eventually affiliates autonomous vehicles, I think we all have an expectation that the insurance probably goes with that will shift over time. But does that really change the fundamental dynamics between who has more influence over the outcomes? I don’t think it does. I think, the biggest driver of – I mean what happens in terms of, I mean, the entire contracting process is, it’s the normal economic demand and supply topic, isn’t it? So we already have excess capacity. I guess, the rates on offer and the terms and conditions will be more conducive for the buyer and then vice versa. So I’m not convinced that with the changes that we see or the change that we potentially see in the way the market operates. The fundamental laws of economics are fundamentally altered by that process. The one benefit could it does trade for the buyer is, of course, for a much larger entity and the same way that if you’re a much larger insurance company, I mean, your tolerance for risk could be different and that would impact, obviously, a need for coverage in the first place. On the opening, the assumption changes in the quarter, I mean, there’s a number of, I mean, relatively small things. I mean, we’ve got – I mean, I think we have no numbers that are above the single-digit level. So we’ve got some minor changes to expenses, minor changes to laps, but there is nothing in the quarter that particularly stands out, what I would be using indicative of something you’d expect to see in the remainder of the year. I mean, I viewed the changes and the operating assumptions is a better randomness in the first quarter.
Peter Eliot: Yes. Great. Thank you very much. I was probably obvious by my first question. But I guess, what I was referring to was fewer customers controlling more of the market. I know, it possibly does alter the supply demand. It kind of makes sense slightly, but sure you’ve covered that, but thank you.
George Quinn: Thank you.
Operator: The next question is from Michael Huttner from JPMorgan. Please go ahead.
Michael Huttner: Thank you. Also on the Farmers and I wonder if you can – you talked about supportive growth and also the policy count and new business. And I just wondered if you could give a little bit more insights into these things? And then, the other thing, I was actually – I didn’t see it at first. And when I saw it, I thought, oh, no, this is not nice. At Farmers you’ve got a $200 million reduction goes in premiums, and I understand this is the independent agent piece of this, which you’re deemphasizing and there’s still a lot more that you could deemphasize. In other words, the scene at Farmers could really decline substantially if you give all this business away. And I just wanted to hear if the – if not the interest, the incentive for shareholders are fully aligned, it doesn’t – at first glance, I would say, the answer is, no, but maybe I’m completely wrong? Thank you.
George Quinn: Yes. So – thank you, Michael. So, on the first topic, so a bit more insight into the top line. And if you look at the headline numbers, I mean, very strong growth in GWP. I mean, both on an absolute and on a continuing operations space of continuing operations up 6%. Obviously, the Uber contracts that, as I was just discussing with Peter, they’re very late in the quarter, so you won’t have an immediate impact on them and they have very, I mean, almost immaterial impact on fees for Q1. But the other thing is – the other dynamic you see in the Farmers business over the course of the last couple of years is, there’s a part of the business we should have been in a run-off for in 21st Century. That’s always leading to something that has reduced the reported headline growth number. We expect and the exchanges expect through the course of this year that process of runoff will be complete. Therefore, by the end of the year, we should be away from this concept of continuing versus the headline number. On the business insurance through – sold through independent agents. I mean, you’re absolutely, right. The exchange has taken a decision in the quarter to dispose of that via a renewal rates transaction offered. I mean, obviously, that does reduce premium volume. It does have an impact on the fee it’s paid. But I think that, I mean, first of all, it’s a decision that the exchange makes rather than the one that we make. But to be honest, I think if any of us were looking at that portfolio of business, it would be hard not to reach the same conclusions that the exchanges have reached. And therefore, I think, I mean, they’re acting as you’d expect them to act. I think the most important issue is this issue that you raise around, I mean, what’s the risk? Will we see more of that? So two things. Now I think if you look back or you’ve been on these calls over longer periods and you’ve listened to the conversations that we’ve had, I mean, that particular portfolio has been a challenge for a relatively long period of time. So I think that we end up in this position is probably a huge shock to people. And then, if you go back to the presentation that Jeff and the Farmers team gave at the Investor Day in December or November, rather, and you look at what we’re seeing elsewhere in terms of growth in the exchange, I mean, we have no significant concern that one would know a lanes or two, that the exchanges have rightly disposed of last parts of its business or portfolio. I mean, the exchanges are looking for growth. And they’re trying to find a way to make sure that they can find a new focus in the market whether it’s the thing we just discussed around Uber, whether it’s the eastern expansion as you saw in the press release today, they got significant growth there, or whether it’s just using the distribution plan that we currently have. So I think, from a shareholder perspective and I think the most important factors from today’s release are – I mean, the customer metrics are obviously extremely important. Policy change is, I mean, a very strong indicator of where the business is headed, and all of that combined with, I mean, Farmers continuing to drive rates. I think it’s actually a very positive sign for the future. And on this particular topic, they’re acting, I think, is almost as any of us would.
Michael Huttner: Okay. Thank you.
Operator: The next question is from James Shuck from Citi. Please go ahead.
James Shuck: Thank you, George. I’d like two questions. Firstly, on Farmers and the Uber deal, again. I guess, this is the first time really we’re seeing Farmers grow outside of tied agents and then started to come around maybe direct. My question is really kind of how that affects the SMS business model at the time? I think, you mentioned that the margin will come down, because the level of services is being reduced. So if you could just explain the dynamics a little bit about what the services that you provide come up to the tied agent? And how that will evolve through a partnership time model, particularly given that’s where a lot of growth might be expected to come from over the medium-term. Secondly, on the Zurich America statements, just kind of first time to ask you questions on this. But I was just looking at the reserve releases by line of business and we see big releases on worker’s compensation, particularly in the kind of 2014 to 2016 years. And relatively good conditions on commercial, multi-peril and other liability lines. If you could just comment on those that would be helpful, please?
George Quinn: Great. So thank you, James. So on the first one, so the Uber deal is, I mean, it’s quite different from what happens with the tied agents or the exchanges or at Farmers. If you buy a policy through an agent, the tied agent at Farmers you buy also a home, it’s like a product that you and I would recognize. So you pay a premium. You cover for all the risks that the policy provides protection for and if you have a claim, the claim gets paid. I mean, on the Uber transaction, this is a commercial rate share contract that covers particular parts of the risk. And I mean, it has characteristics of claims handling agreements in the end. So it’s really quite different from, I think, what you see within the normal Farmers distribution channel. So I don’t think it has a direct impact on the tied agent. I mean, we could debate – I mean, if you have a much longer time horizons, so if you’re thinking 10, 20 years from now, I mean, what impact can this have, we’re back to that strategic question around impact of gig economy, impact of shared or fully autonomous vehicles. But for the time being, I mean, the way that we’re inclined to view this and the way I think Farmers certainly views this, this is then taking advantage of a core competence that they have, a scale that they have to support, I mean, what was – it’s interesting that customer segment that’s not currently covered by Farmers through the tied agents channels. On the Zurich America, instead of saying – so they – I mean, we talked – I guess, we talked at length that various kind of worker’s comp on this call, I guess, probably more often in the sense that some of the concerns that people have had, I mean we’ve given group disclosure. You have access to the yellow books in the U.S., which have obviously used. I mean, we’ve been pretty positive on what has come over the course of the last few years. We’ve seen good performance from the book. And I should think that in the reserve what we’ve seen recorded in the financial statements, in fact, that also flows through, as you can imagine, into the reserve development the group has published. I mean, we think it’s sustainable. There are a saying a couple of things. One is that the – I mean, part of the recent years of being in a period, I mean, relatively strong profitability in worker’s comp, combine that with relatively modest inflation and all of those things and to drive these outcomes make you look across the big American book. I mean, we’ve seen, I mean, relatively strong reserve release across the entire portfolio. I mean, you mentioned two of the more obvious lanes. I mean, there are some areas we’ve added that Zurich America has been one of the most significant contributors to the group’s reported PYD of 1% to 2% regularly over the course of the last couple of years. And in fact, we’ve given what we see coming, I expect that to continue. So we’re very happy with what we’re seeing, but it really reflects a combination of a relatively positive period in pricing and a relatively benign period for the claims.
James Shuck: I guess, if I can just quickly follow up on the worker’s comp releases. So I mean, is this something that’s coming through from the market as a whole, because it seems like rate increases the stall a bit on worker’s comp. And I guess, I’m just wondering, that such a high level of release is coming on that line. I think, you’re reporting combined ratios in the region of 60%. Is that encumbered with the market? Do you think rate is going to stick in that line of business?
George Quinn: I think, if you look at the rest of the market, the – I mean, you see a variety of dispositions, I think, and both from the perspective of the initial lost pick, which can differ significantly from company-to-company and from the actual experience therefore, on PYD. I mean, ask me to comment on, I mean, how the peers see the market, but I mean, we’ve been very pleased with the performance. I think, you’re right on the current price trend. So I mean, as we look back, I think, you would be a bit complacent if you were to extrapolate this into the future. So on the pricing thing, I maybe look at it carefully. We’ve talked at length either on these calls or the Investor Day Amex. And the importance of that does – and in fact, some of the commentary around premium volume and the press release this morning, so you saw this remark that, I mean, we have growth in APAC and Latin America. Generally, we’ve see a reduction across North America, especially around commercial. Part of that is driven by us trying to move the worker’s comp book away from the more inflation exposed product and into the less inflation exposed product as we try and position the book to some of the risk that will, I mean, almost standing much in the future and happy with what we’ve seen in the past, but we should be cautious about others lanes develops in future.
James Shuck: That’s great. Thank you.
Operator: The next question is from Arjan Van Veen from UBS. Please go ahead.
Arjan Van Veen: Thanks. George, can you just comment briefly on the minus 2% reduction in EMEA, which we also saw in 2017. Is this where some of the pressure points are coming from, or is it like in the U.S., a bit more mix shift? And the second question is on the margin in the Life portfolio. Last year, you had a very strong growth in new business value, it’s minus 1% in the first quarter. I was just wondering whether there’s a bit of seasonality there and what we kind of look forward in the full-year?
George Quinn: Great. So on the EMEA, so if you look around the European business, we have growth and particularly in commercial and we have about weakness in the UK and in Germany. I mean, nothing particularly stands out for me and there are – there is a need, for example, in the same way that we’re tackling commercial auto and the weakness that, that tends to produce in the U.S. We have some of those issues in Europe too, on commercial auto. And you can extend some of the action we’re taking in the U.S. on a small scale and some of the things you see happening in Europe. But in general, UK and Germany are the drivers of the reduction that sales went slightly up. On the Life portfolio, it’s not really seasonality. So what you see in this quarter, I mean, you see pretty healthy growth on APE. But, as you mentioned, our new business value, if you adjust for foreign exchange and the impact of last year’s disposal of the corporate same new business in the UK, I mean, we’re around this 25.1 margin level. I mean, the reason you see the slight drop in Q1, it’s really a mix of business. That’s actually deliberate rather than accidental and it’s driven by two areas. So one in the UK, we’ve grown in a particular area of corporate protection, which certainly drives volumes, but has a relatively low margin. And that can come or go depending on client demand in a particular quarter. And the other thing we’ve done this quarter, which is something we have done before, and we’ve grown the Plan Ahorro business in Spain, where banks have a deal of joint venture partner there. That’s a savings product. It’s spread supported. So it typically has, I mean, very little, sometimes negative new business values. The reason for doing that kind of business is that, there’s an ROE optimization that we can achieve through rating some of it. So I mean, we have a – we have a certain appetite for that business. We have a certain capacity to do it in Q1, and we certainly had a partner who could sell it. So that’s what you’ve seen. It’s not a seasonal issue. It’s really a – at least, partly opportunistic.
Arjan Van Veen: Okay. So thanks, George.
Operator: The next question is from Farooq Hanif from Credit Suisse. Please go ahead.
Farooq Hanif: Hi there. Firstly, going back to shifting away from kind of inflation exposure in the U.S. When you look at the price increase that you’re getting, does that mean that the risk of that will be offset in the future by inflation – has gone down materially? Could you comment on that? And secondly, going back to the Life margin, I sort of understand this point about optimizing between margin, ROE and earnings. Does that mean, I mean, you’re basing – the answer you just gave to Arjun. So that means that actually the earnings on this business that you’re writing are going to be better than the margin suggests? Thanks.
George Quinn: Great, Farooq. So on the first one – so it would behoove me to claim that on the basis of what’s happened in Q1 that we’ve really shifted the inflation profile materially. I think, as you know from prior conversations and certainly from Investor Day, that we had back in November, we’re looking at a number of different levers to move the portfolio mix and those levers that’s available to us include reinsurance. The challenge on the reinsurance side is that, that’s a relatively effective way to address inflation exposure on the prospective liability risks. Doesn’t assume much for the in-force and is also very limited appetite in the reinsurance market for the worker’s comp exposure. So it’s one of the things we’ve done – well certainly have moved us in the right direction, whether that’s the use of reinsurance or whether it’s some of the product shift that we’re trying to execute within Q1. But as I mentioned earlier, we still need to tackle some of the issues around the products that carry the most significant inflation exposure and that’s worker’s comp. And we try to shift clients away from the products that carry the most would certainly help. I mean, ultimately, though I think given the way that inflation expectations develop, I mean, likely over time that portfolio for us will be a bit smaller in the long run than it is today. And that feels like the most effective way and the most cost-effective way to address inflation exposure. On the Life margin question and earnings that – just to be very transparent about when others put up works, if you look at it on a – I mean, if we sell a spread supported product, which is not so common in our portfolio, I mean, if we do that, because the economic system that we apply has no liquidity premium within it, when that type of business will typically produce at a very low or potentially negative new business values or issuance. On the assumption that over the Life of the product and the products are typically pretty short-term, the – let’s say the spread adjustment that you would make from a risk perspective is not required, because you don’t see the levels of defaults that may be anticipated, that will produce a higher ROE than you would see otherwise. And the ROE’s putting out risk-adjusted and maybe we try and look at all of the different metrics to try and optimize earnings. In the end though, from a group perspective, this impact is really smaller. So I wouldn’t spend too much time worrying about it.
Farooq Hanif: Okay. Thank you very much.
Operator: The next question is from Johnny Vo from Goldman Sachs. Please go ahead.
Johnny Vo: Yes, thank you, guys. Look, just – there has obviously been a focus on profitability of certain business lines in your North American business for a number of years now. But I guess, how many more years are we likely to see this restructuring taking place? I know that there’s issues with worker’s comp and trying to move the portfolio. But obviously, you’ve been doing this for a number of years now. So when are we going to see the – that restructuring sort of ease? And the second question is just a bit more of a cheeky question, I guess, one of your peers described the possibilities of a merger of equals. How would you view these sort of in the context of possibilities at Zurich? Thanks.
George Quinn: Thank you. Where am I going to start now? Let’s move to the profitability question first while my brain thinks about the answer to the second one. I mean, this may seem a bit odd. But I don’t think we’re in an abnormal period in what’s happening in the U.S. business. So I mean, obviously, I mean, all of our business is to grow them over time. I think, if you look at the entire commercial market in the U.S., I mean, it clearly faces some challenges, certainly, if you look at a more granular level, say, line of business. So I mean, they need to tackle that is not surprise and – I think, actually to many people. I mean, as the market turns and as we see more momentum on pricing, I’d expect that business to grow again. But I mean, we want the business to maintain a focus on profitability at all times. It’s the most important driver of success, we’ve found. I mean, hopefully, if not all is necessary to make such adjustments as you’ve seen in Q1. But I mean, there’s nothing going on that feels like a major turnaround situation. I think, what we see the business do is make, I mean, reasonable choices of our capital allocation, which is what we want them to do. So I can’t tell you when the business will grow. But it will grow when the opportunity to grow more profitable is there and hopefully that’s not far away. I mean, on the pricing, the rate drop just maybe broaden the reissue a second. When you’ve seen the commentary already today in the press release and – around rate for Q1, sequentially, that’s stronger than Q4 last year. Initial indications are that Q2 will be sequentially stronger again. And in fact, in discussion with the U.S. team, they have some – there’s not just optimism. The foundation for their expectation, which is that, that trend will continue, certainly through the middle of the year is that some of the most loss affect accounts actually have yet to renew. So we’re expecting to see some of that rate – now I’m not pretending it will accelerate and become exponential, but we certainly expect to see an improving trend essentially the middle part of the year. M&A, so I think the most important thing I can say about M&A is that, I mean, we don’t exist to do M&A. I mean, we exist to, I mean, serve our customers well and generate a good return for our investors by doing that. And that means that the operational plans that we put forward at both the Investor Day in 2016 and again at the Investor Day last year are the most important priorities for us. And I think, you can see through the course of last year and the results that we published in February, I mean, we’re making progress and that’s a positive benefit to shareholders. We think that’s the highest value priority that we can pursue. As far as M&A [indiscernible], you’ve seen us do M&A. So I mean, over the course of over the last 18 months, we’ve done a number of smaller acquisitions that, in almost every case had two key characteristics. One, is that they were our strategic enabler. So they were a part of something that I hoped, viewers, analysts and our investors would recognize us pursuing goals that we’ve previously communicated to you and financially, they’re attractive. So they – compared to the alternative use of capital, which would typically be to return them to investors, these all represented actually a superior use for our investors. We’ve also had a talk about the fact that, I mean, we don’t believe in this large-scale, multi-market approach to M&A that creates a huge distraction for the business. It’s pretty rare that two plus two in this world equals four or something more than four or one plus one is more than two, sorry. So I mean, that’s not our priority. Our priority is on the operational side and that’s what we’ll continue to be.
Johnny Vo: Okay. Thank you.
Operator: The next question is from Oliver Troop from Bernstein. Please go ahead.
Oliver Troop: Thanks, and good afternoon. I’ve got two questions, and my first question is on Farmers. You’ve obviously been reducing the quote share over time and it’s now down to 1%. And I noticed also that the Farmers certificates of deposit, sorry, certificates of contribution held by the group ‘s been reduced. It just seems like Zurich is becoming more and more decoupled from Farmers. So my question is, do you still see Farmers as a core part of the group in the long-term? And then the second question, I wondered, if you could just give an update on claims inflation. How does that compare to the group’s overall price increase you’ve got in P&C, maybe across your key markets?
George Quinn: So, thanks, Oliver. So on the first one, so is Farmers a core part? So Farmers management is a core part of the Zurich Group? Absolutely. I mean, the things that we’ve done less of are the things where – I mean, Zurich doesn’t necessarily do this for any of its clients. So they – I mean, I think probably as long ago as 2014, maybe 2015, we talked about the fact that, I mean, being a reinsurer to Farmer – Farmers over a longer period, I mean, this makes no sense for Zurich or for Zurich’s shareholders. And therefore, we’ve been reducing the participation over that period as exchanges effect will tackle sources of support. I mean, Zurich is not a professional reinsurance organization and I think, Farmers is actually better served by finding that type of support. And certainly, our shareholders are also well served by us not exposing the capital base of the front of those types of risks.
Oliver Troop: Okay.
George Quinn: On the quarter, though, I mean, we view that relationship as extremely important. I mean, we spend a lot of time looking at how we can help and how we can improve the relationship. It’s a core part of what Zurich Group offers and I don’t expect that to change in the foreseeable future. The claims and inflation topic, I mean, as always, it’s going to vary a lot by different lines of business. And if you look at it in relatively short periods, it can be difficult to judge. I mean, but I mean, given what seems more significant rates within Q1, we expect claims inflation to come up gradually, but not to the same rates as pricing. So therefore, we think we’re seeing margin expansion currently. We’ve talked in the past matter of fact that claims inflation overall for our brokers may be running in that 1% level. It’s maybe fractionally higher than that today. And of course, if you look at some of your lines of business, when you see the opposite trend. But, I mean, for the overall portfolio, we’re benefiting overall from the rate change.
Oliver Troop: Okay. Thanks.
Operator: The next question is from Andrew Ritchie from Autonomous. Please go ahead.
Andrew Ritchie: Hi there. First question, P&C, premium growth, gross versus net. I thought I understood part of the plan for 2018 was to continue reunderwriting gross, which meant some shrinkage, but also reunderwriting or buying more reinsurance on certain lines. Is it fair to assume the underlying net written premium growth is below the gross still so far year-to-date? I presume the guidance still remains about flat NEP for the year as a whole, or is there any reason why that should have changed? Second question, looking at movements in yield curves and spread years-to-date, I would be assuming that your reinvestment yield had risen somewhat. Are there any changes you’ve done to your asset allocation that would mean that would be wrong? Thanks.
George Quinn: Thank you. So on gross versus net. So the first one, the reinsurance point, you’re right we have a bit more reinsurance probably around portfolio mix and partly around some lines of business, where we’re looking to reduce the capital allocation. I mean, within the quarter, I mean, now that they’re both risk attaching contracts, so the impact of the ratios will blend then over time. Net spend in the quarter, I mean, it’s not vastly different from – because rent picture may be slightly more positive, but I mean, it’s not materially different from the flattish picture that you see and our guidance for the full-year hasn’t changed. So flattish end outcome or be it we may see a switch as we talked about before between commercial and retail in other businesses. On the yield curve piece, I’m really glad you asked that question, because I was hoping somebody would ask me that. On the SAA side, I mean, no significant change. But actually, on the reinvestment rates, and well, I mean against – it’s one quarter and it’s a relatively small impact in the short-term. We talked about this as the – as part of the year where – for P&C’s on their lease, the impact of reinvestment would bottom out, and in fact, we’ve seen the inflection point already in the first quarter. So we have good yields in the P&C book of about 2.7 and reinvestment yield about 2.9. So that should be beneficial for us as we go through the remainder of this year and next.
Andrew Ritchie: All right. Thank you.
Operator: The next question is from Nick Holmes from Societe Generale. Please go ahead.
Nick Holmes: Hi, everyone. Hi there. Just one question. I wanted to ask about your P&C expense ratio and can you update us on where you think this is heading? And in particular, are you concerned that by the cutting premium in the U.S., you’ll put more pressure on the expense ratio? Thank you.
George Quinn: Yes, thanks, Nick. So, obviously, we haven’t given an expense ratio number today. We’ll update in more detail when we get to the half-year. And just a reminder to everyone that we have a particular skewed seasonality around crop, which has some unusual expense ratio features that I know you’re all aware of, just a reminder you think about the first half results. I mean, what’s most important for us is reduction in absolute expenses, that’s the thing that we, obviously, completely control. We have the target that you’re aware of. You know how much progress that we’ve made through the end of last year. That progress has continued as we expected through Q1. We’ll give a more fulsome update when we reach the midyear. But we expect to continue to communicate an achievement of our expense goals and a reduction in the expense base that would follow them. I mean, there will be a challenge at times if – I mean, if there was a reason why there was going to be a larger correction around premium volumes because of a profitability challenge in the market. I mean, there was a risk to the expense ratio. But that’s the key reason why we haven’t set an expense ratio target. Maybe more positively, though, I mean, as you had made respond to Andrew a moment ago, we’re looking for a fairly flat outcome on the net end, which, of course, will be the driver of the expense ratio. I don’t expect at this stage, to trade away the benefits of the expense cuts through a full or significant full on top line.
Nick Holmes: Okay. Thank you very much.
Operator: Our next question is from Vinit Malhotra from Mediobanca. Please go ahead.
Vinit Malhotra: Yes, good afternoon. Thank you very much. So, George, just to clarify this minus 5% in U.S., is this a shift in the recent few months that post your commentary in the full-year you decided to get a bit more gas full about underwriting, or is it just something that was anyways likely to have happened by now in past year plans? I’m just looking for whether that’s incrementally more changed on underwriting? And second question is, you mentioned the bolt-on M&As and some of those have been in Latin America, where obviously, the currency is quite in focus last week as well – is there anything we should know about that? Is there a hedge in place for something to highlight? Thank you very much.
George Quinn: Vinit, thank you. So on the shift in business. First of all, I don’t remember precisely when we first talked about in a public forum maybe on the Q3 call, maybe on one-on-ones, which took place in between both. This is something we’ve been planning since last August/September. I think I have talked to some investors about that fact that, I mean, I think as you guys can see in the half-year results, again, in the year, I mean, within the commercial business, it was clear that we needed to do more to shift the mix. And part of that was going to be pruning some of the portfolios that have been a challenge. I mean, the obvious post churn, I mentioned it earlier on the call is commercial motor or commercial auto in the U.S. It’s actually quite a hard business to reduce volumes and – because it’s the business that has, by far, the highest rates. But this is a planned activity and the plans go back already at seven, eight months for the activity you’re seeing there. On the M&A topic, I guess, you’re all following – well maybe not following, but you’re certainly all aware of what’s happening clearly in the Argentinian peso. I mean, we have a traditional transaction. We have the customary protections, but of course – I mean, we enter into this transaction with a longer-term perspective on the market. And if, I mean, if you’re really worried about Argentina at the moment [indiscernible] recalls that they got the – some of what taken place. I mean, we’ve had good experience in Argentina even through relatively difficult periods. And also, I mean, if you look at – a good example is Brazil. So I mean, go back to 2015, 2016 and look at the challenges that we saw on the micro side in Brazil, I mean, some of the more recent of those two years has been a particularly strong period for Zurich in that market. So, I mean, what we see happening at the moment is something that, I mean, it can happen from time to time in markets, I mean, besides Argentina. But I mean, this is a market we like from a long-term perspective – and that’s why we made the investment.
Vinit Malhotra: Okay. Thank you very much.
Operator: The last question is a follow-up from James Shuck.
James Shuck: Thanks for taking the follow-up. Just one question actually. I think, George, in the past you’d referred to surplus capital in the U.S. and looking to upstream that out to the holding company. But it doesn’t really seem to have happened just looking at the progression of the dividend over time and U.S. RBC ratio is now 378% at full-year. I guess, what’s the kind of target range on that RBC level and what’s the outlook for that ratio given potential tax factor changes or any potential changes to your quote a share?
George Quinn: Yes, great question. So, I mean, you connect the two drivers here. So, I mean, you’re absolutely right. I mean, I’ve alluded in the past that we were looking to bring ourselves down to target levels of capitalization in the U.S. and that would have triggered, well certainly, a known expectation additional cash flows if we did that. We’ve never had those cash flows and the cash for maintenance guidance. It was always going to be something that potentially was on top. But the reality is the tax change is as we restructure avoids the potential issues that weak components can can create, that capital will be used locally to reduce the extent to which we seed with other parts of the Zurich Group. So at this stage, I have no expectation of other ordinary dividend flows from the U.S. And we’ll use that surplus capital that was there to make sure that we get the benefits of the change in the Federal rate in the U.S.
James Shuck: And presumably that doesn’t change anything about the cash remittance target over the three years?
George Quinn: Absolutely nothing.
James Shuck: Wonderful. Thank you.
Operator: The next question is a follow-up from Farooq Hanif. Please go ahead.
Farooq Hanif: Oh, hi there. On your Z-ECM capital ratio, you have made lots of little, I mean, obviously quite small acquisitions. But it seems that you – it’s very difficult for you to sort of make a dent on that capital ratio to get it back down to 100% to 120% level. So just kind of wondering, do you think you could use that up with M&A, or do you think you’re going to have to do something else? Thank you.
George Quinn: I think, the thing I’d point out here is that, I mean, the point people focus more on the acquisitions, we’ve also made disposals. And it’s more than simply the – I mean, the things that we frequently talk about around the transactions in the Middle East, Africa, Taiwan, Morocco, we’ve done back, but what? And I mean, some of those transactions have had, I mean, really significant, positive impacts on their ECM. So as you’ve seen us do things like cover more, I mean, some of those things are paid in their entirety by some of the restructuring done on the back end to remove some of the risk from the portfolio. So I think, that’s partly why you’ve seen the ratio be a bit more resilient than perhaps, you might have anticipated, given more sample on the M&A side. Do I think, we can make a dent in it? I mean, I think we’ve said frequently that we don’t have a shadow target range that we have on the earnings. The target range is 100% to 120%. We’re in the fortunate position that we run above that currently. Priorities are unchanged. So primarily that’s something that should be a topic that gives investors confidence that the dividend is very secure indeed. And beyond that, we’d like to deploy preferably on organic activity, if not in organic activity, on inorganic activity that would be – it would help us, I mean, not only get to targets, but either help us get there faster or help us exceed the targets. And if we can’t do that and we still have surpluses over given periods, we would do what you’d expect us to do, I mean, nothing changed on our priorities or on capital.
Farooq Hanif: Okay. Thank you.
Operator: The last question is from Michael Huttner. Please go ahead.
Michael Huttner: Thank you so much. And on the small rise in the Z-ECM from 130 to 133, is there anything to highlight in terms of moving parts? Is there anything that stands out?
George Quinn: Actually not much, it’s one of the simplest quarters of movement on Z-ECM. So it’s essentially 4 points or if I guess, what we would call operating capital generation, 3 points of dividend accrual. No management adjustments or management actions or any other unusual things in the ratio. It’s all the stuff you see, or would see if we published more detailed figures.
Michael Huttner: Thank you.
Operator: That was our last question. I would like now to turn over to Mr. Burden.
Richard Burden: Thank you very much, everybody, for dialing in today. In case you do have further questions, feel free, do not hesitate to contact the IR team. Thank you.